Operator: Greetings, and welcome to the ArcBest First Quarter 2021 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, Tuesday, May 4, 2021. I would now like to turn the conference over to David Humphrey, Vice President of Investor Relations. Please go ahead.
David Humphrey: Welcome to the ArcBest first quarter 2021 earnings conference call. Our presentation this morning will be done by Judy McReynolds, Chairman, President and Chief Executive Officer of ArcBest; and David Cobb, Chief Financial Officer of ArcBest. We thank you for joining us today. In order to help you better understand ArcBest and its results, some forward-looking statements could be made during this call. As we all know, forward-looking statements by their very nature are subject to uncertainties and risk. For more complete discussion of factors that could affect the company’s future results, please refer to the forward-looking statements section of the company’s earnings press release in the company’s most recent public filings by the SEC. In order to provide meaningful comparisons, certain information discussed in this conference call includes non-GAAP financial measures as outlined and described in the tables in our earnings press release. We will now begin with Judy.
Judy McReynolds: Thank you, David, and good morning, everyone. I am very pleased to report that we’re off to a positive start for 2021. On a consolidated basis, we recorded our best first quarter operating income in company history and the highest quarterly revenue of any quarter in our history with growth in all areas of our business. Our first quarter results also reflect the positive impact of yield strategies and cost control. We are in a very different place than we were a year ago and that’s good news. In 2020, we had a solid first quarter, but as we close the quarter and entered April, we began experiencing revenue declines due to the effects of the COVID-19 pandemic. However, we were well-positioned as we entered the pandemic and our successful navigation of those challenges over the past year is really a testament to our values-driven culture and the resiliency and adaptability of our teams. The demand environment is robust with simultaneous strength in manufacturing and retail, providing unusual pressure on supply chains. So foot traffic to retail stores remains below pre-COVID levels. Retailers have seen strong consumer demand, particularly for electronics, furniture and home improvement. Between COVID, historic winter weather events, port congestion and the recent Suez Canal blockage, customers are experiencing unprecedented levels of supply chain disruption. At ArcBest, we see our business through the customer lens and the benefits of our approach have never been more apparent. Over the last year and into 2021, we’ve worked alongside our customers to navigate the impacts of the pandemic and other disruptive effects on supply chains. Our sales and customer service teams are aligned with the specific needs of our customers and we use data science, analytics and technology tools to effectively engage with them. Our approach allows us to identify the best solutions to meet their changing needs, including unique combinations of capacity. We utilize our Asset-Based network as well as our owner operators and carrier relationships to serve them. We have a $3.5 billion growth opportunity for logistics services within our existing customer base. With respect to new customer opportunities, we are encouraged by the growth of large markets we participate in, such as the LTL and domestic transportation management markets. We are well-positioned to take advantage of these opportunities. An indication of our strategic progress is our Asset-Light revenue as a percentage of consolidated revenue, which was 36% in the first quarter of 2021. By comparison, that percentage was 30% in last year’s same quarter. As this percentage grows, ArcBest revenue base better reflects customer transportation and logistics spend. Also, we find that with deeper customer relationships, we experienced greater growth, retention and profitability in our Asset-Based and Asset-Light solutions. To address the growth we’ve experience and to further position ourselves as a capacity resource for our customers, we are hiring drivers and dock workers across the ABF network and additional logistics and technology professionals enrolled throughout ArcBest. We are taking an earlier than normal look at our 2022 CapEx plans in anticipation of increased purchases of additional equipment for the ABF network to facilitate growth in our business and to allow us to continue to effectively serve our customers’ needs. And we are aggressively recruiting owner operators and contract capacity in our Asset-Light business. Obviously, we will manage these investments according to the business levels in light of the eventual cyclical change to the current momentum in the macro freight environment. We see solid growth opportunities in this environment and we are focused on taking advantage of them. And now, I’ll discuss some additional detail on the first quarter performance of our service offerings. In the first quarter, our Asset-Based business benefited from the effects of healthy market conditions in the midst of tight industry capacity. We responded to the increasing less than truckload needs of our customers in an effective manner with an emphasis on building partnerships and solving their supply chain challenges. This resulted in the highest first quarter operating income in ABF’s history. Revenue totals were positively impacted by strength in the housing market which resulted in continued strong demand for our consumer moving services. The high number of first quarter U-Pack shipments was not typical and was a result of the effects of the pandemic, which significantly reduced consumer moving activities in last year’s second quarter that’s pushing them out to future periods. Increases in non-U-Pack residential delivery shipments were the result of continued strength in e-commerce activity. Despite decreases in total weight per shipment associated with the mix of truckload-rated shipments in the Asset-Based network, increases in average weight and revenue on LTL-rated shipments was another positive factor contributing to higher first quarter Asset-Based revenue versus last year. Efficient utilization of ABF operational resources and effective cost management were important factors contributing to higher first quarter profitability. First quarter freight handling metrics were better and our customers benefited from further improvement in cargo care compared to both last year’s first quarter and the recent fourth quarter. These operational improvements occurred despite significant weather disruptions that occurred mid-quarter, resulting in the highest number of February service in our closure days and linehaul lane closures in the last 10 years. As we did in the second half of 2020, the recent quarter included the use of an elevated level of local and linehaul purchase transportation to supplement our ABF network resources. As a percentage of revenue, these first quarter costs were above last year. We are having some success in adding employees in key geographic areas of need throughout the country. This is part of our strategy for growth, while reducing our purchased transportation usage. Though the impact of these hiring actions may not immediately lower the level of purchase transportation, we hope to make progress on that later this year and as we move into 2022. The strength and rationality of the LTL market pricing environment is illustrated by our recent success in yield management initiatives that resulted in solid increases in our revenue per hundredweight metric. This was a significant contributor to improved profitability. The average revenue percentage on contract and differed pricing agreements negotiated during the quarter was the best first quarter in – increase in 20 years. The current LTL market offers opportunity for us to improve overall account pricing and thus Asset-Based profitability. Our past success has been in providing value to our customers and return for a competitive price. And as we began the second quarter, we continue to experience strong demand for our Asset-Based network capacity. During the recent quarter, our ArcBest Asset-Light business was able to effectively respond to current market conditions that reflects strong customer need for our logistics services and limited equipment availability. This combined with consistent rate stability resulted in the best first quarter operating income in the history of the ArcBest segment. In fact, it was one of the most profitable quarters of any quarter we’ve ever had for this segment. Solid shipment growth along with a significant increase in revenue per shipment contributed to the year-over-year gains we experienced in first quarter revenue. Margins were somewhat pressured by market costs for equipment capacity from our Asset-Light carrier partners. However, more effective utilization of existing personnel and internal resources supported by the benefits of ongoing technologies utilized for our customers and carrier partners allowed us to maximize incremental profits which resulted in strong operating results we reported for the quarter. So far in the second quarter, trends in this business continue to be good and we are working diligently to meet the needs of our customers. At FleetNet, growth in total events during the first quarter was driven by increased roadside repair activity. The first quarter revenue increase reflected higher revenue per event combined with the event growth, while digital connectivity initiatives continued to contribute positively to greater efficiencies. This quarter’s operating income was comparable with last year’s first quarter due to the investments in personnel designed to maintain a high level of customer satisfaction and to ensure workforce consistency. And now, I’ll turn it over to David Cobb for a discussion of the earnings results and operating statistics.
David Cobb: Thank you, Judy, and good morning, everyone. Let me begin with some consolidated information. First quarter 2021 consolidated revenues were $829 million compared to $701 million in last year’s first quarter, a per day increase of 20%. On a GAAP basis, we had first quarter 2021 net income of $0.87 per diluted share. This compared to net income of $0.07 per share last year. As detailed in the GAAP to non-GAAP reconciliation table in this morning’s earnings press release, adjusted first quarter 2021 net income was $1.01 per diluted share compared to net income of $0.36 per share in the same period last year. ArcBest’s first quarter 2021 effective GAAP tax rate was 25.5% and on a non-GAAP basis, the effective tax rate was 26.8%. Under the current tax laws, we expect our full-year 2021 tax rate to be in a range of 25% to 26%, while the effective rate on a GAAP basis may be impacted by discrete items, such as changes in cash surrender value of life insurance and the settlement of share-based payment awards primarily vest in the second quarter. We did the first quarter with unrestricted cash and short-term investments of $361 million and net of debt total net cash of $94 million, an increase of $9 million since the beginning of the year. Combined with the available resources under our credit revolver and our receivable securitization agreement, our total liquidity currently equals $654 million. Our total debt at the end of the first quarter of $267 million includes the $70 million balance on our credit revolver and $197 million of notes payable primarily on equipment for our Asset-Based operation. The composite rate – interest rate on all of our debt was 2.9%, consistent with what it was at the end of 2020. Treasury stock purchases during the first quarter equaled $1 million, and full details of our GAAP cash flow are included in our earnings press release. Our Asset-Based first quarter revenue was $556 million, an average daily increase of 10% compared to last year. Asset-Based quarterly total tonnage per day increased 1.8% versus last year’s first quarter. For first quarter 2021 by month Asset-Based daily total tonnage versus the same period last year increased by 6.6% in January, then decreased by 5% in February due to the severe weather events in that month that Judy mentioned, and then increased by 3.8% in March. First quarter total shipments per day increased by 2.6% compared to last year’s first quarter. First quarter total billed revenue per hundredweight on Asset-Based shipments increased by 8.8% and was impacted by lower fuel surcharges. Revenue per hundredweight on LTL-rated business excluding fuel surcharge improved by 1% in the mid-single-digits, we secured an average 5.6% increase on Asset-Based customer contract renewals and deferred pricing agreements that were negotiated during the quarter, which as Judy pointed out earlier was the highest increase we’ve had in many years. Preliminary business trends for April have been provided in the Form 8-K exhibit to the press release. While the year-over-year comparison to April 2020 is significantly impacted by the effect of the pandemic, and therefore, not a representative benchmark, April’s preliminary Asset-Based sequential trends versus March 2021 are some of the strongest we’ve seen in the last 10 years. In total, the revenue at ArcBest Asset-Light businesses increased 43% versus last year’s first quarter, reflecting the strong demand in our ArcBest segment and improved events in revenue per event in the FleetNet segment. First quarter Asset-Light operating income was $9.3 million compared to a loss of $400,000 last year. Adjusted first quarter 2021 Asset-Light EBITDA was $12.1 million compared to adjusted EBITDA of $2.5 million in first quarter of 2020. Preliminary Asset-Light business trends for April have been provided in the Form 8-K exhibit to the press release as well. As I mentioned, the year-over-year comparison to April 2020 is unusual because of the pandemic effect on shipments and the effect of some high margin project business last year. This morning we filed an 8-K that included our first quarter 2021 earnings release along with an exhibit that I mentioned, which includes some additional information about our current quarterly financial results along with our recent business levels and our future expectations on certain financial metrics. Now, I’ll turn it over to Judy for some closing comments.
Judy McReynolds: Thank you, David. First, I’d like to recognize Tim Thorne, the President of ABF Freight. As we announced in January, Tim will be retiring at the end of June after a 31-year career with our company. Tim has been a great leader who has made significant contributions to our company and had a positive impact on our people. I wish he and Dianne, the very best in his retirement. On July 1, Seth Runser the current Chief Operating Officer for ABF will become ABF’s President. Seth is focused on facilitating growth in ABF and ensuring a continued commitment to providing a best-in-class customer experience. I’ve been working with Tim and Seth closely over the last several months and the transition is going smoothly. I appreciate both of them and their work together to set us up for success for decades to come. Also I want to mention a few recent honors we received that highlight our important ESG initiatives. Our employee training program is number 16 on Training Magazine’s Top 100 for 2021. This is the 12th consecutive year we’ve been recognized on this list and it really speaks to our commitment to provide employees with continuous learning and growth opportunities to help equip them to provide a great experience to our customers. Forbes included ArcBest among its 2021 list of America’s Best Large Employers and recognized us for a third consecutive year as one of America’s Best Employers for Diversity. Our people and our culture are differentiators for us and we value diversity and are committed to providing a work environment that makes everyone feels respected and appreciated. These honors recognized our commitment to our people and that makes me very proud. We were also awarded a bronze medal from EcoVadis which recognizes our 2021 sustainability rating. The bronze rating puts our sustainability performance in the top half of all companies and industries rated across the world. We’re very proud of this recognition. We are mindful of our environmental impact and we know that sustainability progress is a long-term commitment. Beginning in 2019, we increased our focus on ESG efforts to determine what we’re doing well and to identify opportunities where we can do more. In 2020, we took several steps toward developing a more robust corporate responsibility program and this year, we’re continuing to build upon those efforts. We are committed to continuously improving how we impact our customers, our employees and our communities. Looking ahead, we continue to have a growth mindset. We’re focused on strengthening our customer and carrier relationships as we strive to serve customers well as they work through their supply chain challenges. Doing so, leads to profitable growth for our company. And now, I’ll turn it over to David Humphrey for our question-and-answer session.
David Humphrey: Okay. Rita, I think we’re ready to do some questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Chris Wetherbee from Citi. Please proceed with your question.
Chris Wetherbee: Yes. Hi, good morning guys.
David Humphrey: Hey, Chris. How are you doing?
Chris Wetherbee: Good. Good, thanks. Hope you guys are doing well. I had a question on weight per shipment. So just looking at some of the April numbers and obviously a big step up here in weight per shipment, I think up 8% and that’s clearly giving a nice boost to tonnage growth. So I was wondering if maybe you could talk a little bit about the weight per shipment trends that you’re seeing and maybe what’s driving that if it’s a – if rebound of more of industrial type end market freight or are there other dynamics are playing out and do you think that’s sustainable as we move forward through either 2Q or the rest of the year?
David Cobb: Yes. Hey, Chris, this is David. I think you’re right. I think the just the overall general strength in the economy and business environment that we’re seeing is contributing to that. We’ve seen across all industries really have good sequential growth kind of on the higher-end of that sequential trend that we’ve seen in the past. In terms of the weight per shipment, I guess, year-over-year it was down in total, but then we’re seeing it higher sequentially in April. Typically, we’ll see, I guess, historical trends slightly down as we move into April and so that’s in line I think with that what we’re seeing there. But I think what we’re also seeing is that our – what we would call our published business, our historical LTL-rated type business strengthen as we continue to see that really since the pandemic hit last year. And so as we see that that really is kind of a lighter weight per shipment relative to some of this transactional business that we were doing to otherwise fill that empty capacity that we had. So when you see that movement kind of sequentially that’s what we’re seeing kind of occur there that business mix change. So anyway there’s a lot of moving parts I would say going on there.
Judy McReynolds: Yes. Also when Chris when you look sequentially consider the fact that when we do more of our U-Pack moving business that tends to be heavier weight business. So when you’re comparing a month like April to March just as you get into those closer to the summer months, that’s a factor too.
Chris Wetherbee: Okay. No, that’s helpful. Appreciate the color there. And I know you talked about the normal seasonality of the operating ratio from 1Q to 2Q, sort of 350 to 450 basis points, excluding I guess last year. I think also if you look at 1Q relative to the full year there is a sort of somewhere in the neighborhood of maybe 300 basis points of sort of improvement if you look back historically, maybe even more than that in certain years. Is there a reason to believe that this year serve should follow those normal trends and should we should see that nice sort of step down in 2Q, but even 1Q, which was obviously a very strong 1Q for you guys would reflect obviously a good run rate for this year. Anything specific we should be thinking about in terms of cost dynamics that may come back or otherwise that would potentially influence that normal seasonality.
David Cobb: Yes. I think one thing to just clear and make sure we’re on the same page is we did have those large asset gains in the first quarter and I think we’re – I think when you do that analysis, you would back that out of the first quarter. But going forward from there, I don’t see really anything unusual that would cause our normal sequential trends to be different than what we’ve seen historically and really I think you probably got to look at it from under this current labor agreement, so like maybe 2019 and 2018 those comparisons. 2020 obviously is a different animal and probably not worth evaluating or trying to average into that mix, so but yes.
Chris Wetherbee: Okay, great. Well, that’s very helpful. Appreciate the time this morning. Thanks guys.
David Humphrey: Thanks a lot, Chris.
Operator: Thank you. Our next question comes from the line of Jack Atkins from Stephens. Please proceed with your question.
Jack Atkins: Hey, good morning, and congrats on a great quarter.
Judy McReynolds: Thank you, Jack.
David Cobb: Thanks.
Judy McReynolds: Good morning.
David Cobb: Thanks, Jack.
Jack Atkins: Good morning for sure. So, I guess, Judy, if I could maybe go back to your comment in the prepared remarks around the initial sort of expectations or look around the 2022 capital spending plans. I mean, if I think about that level of tonnage of the Asset-Based business over the last five years it’s kind of been pretty constant over that time frame, but that comment around additional asset plans for 2022 would indicate that you see growth coming there and sustainability of business trends just based on what’s happening in the broader market. So, could you comment on the potential for some accelerating growth and then some longer term growth that you see maybe in that Asset-Based business over the next couple of years based on your capital plans?
Judy McReynolds: Yes, I mean I think certainly the demand environment is robust and we’re seeing a lot of good opportunities and I think we’re able to work through those opportunities and make sure that we’re serving our best customers very well and one of the things that we pointed out in the quarter was the use of purchased transportation and that’s in different parts of the business, whether it’s linehaul or in the local operations. And as you mentioned, when we see the sustainability of our business plus we want to make sure that our customer service stays in a great place, we tend to think about replacing those types of cost with something that we handle ourselves. The other challenge that we’ve had and we’ve talked about this is just the hiring challenge. Last year at this time, I think we had about a 1,000 people laid-off and we’ve done well, I think, adjusting for that, but it is against a headwind of a challenging environment and so we’re making progress. We’ve hired hundreds of people this year so far, but we also continue to want to hire more. And so again I think of it not only as increased demand and us having a great network capacity source for our customers, but I also think of it as replacing some of that purchase transportation cost. And it will take us some time to do that, but I feel like those two elements are what’s driving those comments about 2022.
Jack Atkins: Okay. That’s helpful to hear. And then I guess for my follow-up question, Judy, I think you ended the quarter with about $13 in cash per share a change. There is the potential you could be closer to $19 or $20 or maybe even 25% of your market cap in cash by the end of the year. So can you talk about how you’re prioritizing using that cash balance and is there the potential that we could maybe see some increased returns of capital to shareholders as you think about the balance of the year?
Judy McReynolds: Well, we certainly think a lot about the appropriate capital allocation and I would characterize what you described is a great problem to have and hope that we continue down that path and get to make those really important decisions. So, we have a good solid dividend and we have a share repurchase program that’s there. The dollars involved in our 2021 capital and then this discussion that we’ve had about 2022 are also elements of our thinking. And we have our pilot project that we’ve been working on that’s in two locations in Indiana and in Kansas City that as we see things progress there that could be a use of capital for us as well. And so all of that plus we continue to stay close to potential acquisition possibilities in the Asset-Light business, although it’s a very difficult time to think about that given the multiples and sometimes there revenue multiples that are being used to really price those companies. And so – but we hear you and agree that we’ve got to make sure that we’re being appropriate in the way that we allocate that capital for shareholders and certainly we always consider whether increasing the distributions that we make, either through share repurchases or dividends is a consideration in that.
Jack Atkins: Okay, great. Thanks again for the time.
Judy McReynolds: Thank you.
David Cobb: Thanks, Jack.
Operator: Thank you. Our next question comes from the line of Jason Seidl from Cowen. Please proceed with your question.
Jason Seidl: Thank you, operator. Hey, Judy and team, good morning.
Judy McReynolds: Good morning, Jason.
Jason Seidl: I wanted to focus on sort of that percent of revenue in terms of your non-asset-based business. I believe your previous goals were to get it to about 50%. Given the recent accelerated growth in that segment, what’s the timeline look now on achieving that 50% mark?
Judy McReynolds: Well, certainly for us, we wish we were already there, because I’ve always pointed out that if we were, it would better reflect our customer spend and that’s a key element of that. And so I think we’re making good progress. We’re starting to see that really increases a percentage of total. And although we’re wanting growth in the Asset-Based business as we just discussed, we feel like with our size relative to the opportunity on the Asset-Light business, we have a lot more to go there. And again it’s really relative to customer opportunity. One of the things that is really working for us now is we have relatively new leadership in our customer management area. I think we announced Dennis Anderson and Steven Leonard as leaders last April. And what I love about what they’re doing is it’s much more focused on the customer segments and they use data and analytics in their decision making and in the information that we use to really try to target those opportunities both within existing customers and new customers. And I think that, with that visibility, we’re able to really deepen the relationships with many customers and identify ones that we would do well with. And especially in this environment, we’re really seeing the combination of our solutions and the flexibility of that play well with the issues that our customers are facing in supply chain, either optimization or just disruptive effects that they’re experiencing. So, we hope to make accelerated progress on that in the next few years. But again a great problem to have would be that the Asset-Based business is growing in a way that really challenges that, so anyway, but I hope that helps.
Jason Seidl: It does. And I hope you guys have great problems to come. So when I look at the industrial market, which tends to drive a lot of LTL business, it seems like it’s starting to come back now at least one of your competitors who was on this morning mentioning that. How should we think about the back half of the year? The pricing environment right now is really good for the LTL sector, UPS Freight being taken over by TFI and TFI being very vocal about how they’re going to sort of raise prices there, because they’ve been behind the market. Could we see a even better LTL pricing environment in the back half of the year with sort of one competitor now raising rates and then potentially increases in the demand on the industrial side?
David Cobb: Yes. I’ll just start with, I think there is – the environment is there, as you mentioned, with the peers and others in the space emphasizing price. And I think they’ve also commented that their cost have increased and they’ve got pretty good inflation in their cost. And fortunately for us, we’ve got a reasonable – in our union contract, a reasonable cost increase. As we’ve talked about before it’s on an annual basis about 2% including benefit package as well, which is also one of the best now in the business. And so our cost aren’t pushing us as much as the – as I would say the peers are. But I think the environment is there forward. I think the capacity continues to be tight for the foreseeable future. The economic trends are, as you pointed out, are strong and positive toward that. So, yes, as far as I can see in this – what we’re looking at, and again, we like to look at the PMI, it’s somewhat of a leading indicator in terms of where that business is going. It’s been positive and strong. So we’ll continue to watch that as well as all the other economic trends, but it seems to be a good environment for price.
David Humphrey: Hey, Jason, I think we’ll go move along.
Jason Seidl: Appreciated.
Judy McReynolds: Thanks, Jason.
Jason Seidl: Thanks man.
Operator: Thank you. Our next question comes from the line of Ken Hoexter from Bank of America. Please proceed with your question.
Ken Hoexter: Great. Good morning. So, Judy or David, given the nearly 9% yield gain, you’re still not breaking through the 90% operating ratio at LTL Asset-Based. What would it take to get there? I guess if you look back to 2004 or 2005, you had yield gains that were a little bit lower. You still broke the 90%. Would leverage not be greater now given that? And Dave, you just mentioned kind of steady cost increases. So what – would it – is it possible to get to that level or are the cost structure still changed so much that you wouldn’t be able to get there given these pricing gains?
David Cobb: Hi, Ken. I think that could be a good problem to have. I mean it remains to be seen, but this is the environment that we would try to drive for that. As I said, our cost per shipment are in a decent place and as the pricing environment supports a good price increase that’s good and we’re providing value for service. And I think the other thing is, is that we’ve mentioned this before but I think our productivity opportunities are ahead of us as well too in terms of just having visibility into cost, having visibility into productivity measures a little better. And then our yield management around all of that in terms of, not necessarily price increases, but putting freight in the right places and filling our available capacity when it is available. We talk about having the supply or these imbalances because of customer supply chain imbalances and so imbalances in our network and how that has caused us to use a bit more purchase transportation and some of that is more costly than we would like to have and we hope to work through that as we, as Judy mentioned, getting some of our hiring personnel resources in the right place and so that would help toward that as well, but – so there’s a lot to work through, but I’d say the opportunity is there.
Judy McReynolds: Yes. And...
Ken Hoexter: Okay.
Judy McReynolds: I’ll just add to that, Ken. Something that we are very focused on is just the optimization of our cost. I mean, I think, what David was describing in a word, that’s what we’re trying to accomplish and we have again significant efforts toward technology spend that really is in the city operation in linehaul. I think with our ability to place dynamic transactional shipments is much more. We’re much more capable of that because of the visibility that we have. And I would just say, as we go through time here, we’re going to have greater visibility on much of our business in a way that just allows us to better optimize it, whether it’s on the cost side or it’s in the pricing part of the business or just working to better serve or work with customers that work well, yes, with us. And so again, when we do our work cross-selling, we increased revenue, increased retention and we increased profitability and those things affect both the Asset-Based business and Asset-Light and that’s just a – it’s a winning formula that we’re very focused on.
Ken Hoexter: Wonderful. And then maybe you could just detail I need the tech investments of the benefits and I guess just when you talked about the increased capital you’re not adding facility doors, right, you’re talking about more refining that purchase transportation or are you looking physical expansion?
Judy McReynolds: Well, I mean we could – we certainly anticipate doing both. But the comments that I made are more related to the equipment side of things. But we do look for opportunities to make sure that our facilities are appropriate and the number of doors are appropriate, but I would say, on balance, the comments that I made are related to equipment or other spending related to optimization opportunities.
David Humphrey: Thanks, man. Appreciated.
Ken Hoexter: Thanks. You got it.
Operator: Thank you. Our next question comes from the line of Scott Group with Wolfe Research. Please proceed with your question.
Scott Group: Hey, thanks. Morning, guys.
Judy McReynolds: Good morning.
David Cobb: Hi, Scott.
Scott Group: I wanted to start on pricing. So one of the LTLs talked about renewals of 9%, I guess, do you see an opportunity to get there or is your point that we’ve got less cost inflation so we’re not pushing as hard on price as maybe some of the others?
David Cobb: Well, I would just – maybe I would catch it that way. I would just say that we’re going to price for value and price in the market appropriately. But I agree, I mean I think our costs are in a very manageable place and we’ve had a good benefit package for our employees. So that’s all in a good place. So – but again we’re going to get what the market would provide I think there. Some of our customers will sometime and …
Judy McReynolds: Yes. And David I would add that in an environment like this, your best opportunity for overall improvement, earnings per share improvement is to have volume growth and appropriately price. And so what’s good about it is the ability to evaluate those opportunities on that basis to make sure that you’re accomplishing all of that and the demand is such that we’re seeing, I think, the right opportunities to look at and we can look at that balance and make sure that we’re satisfying our best customers, let’s just say.
David Cobb: Yes.
Scott Group: Okay. And then is there any way to try and quantify the impact of weather in the quarter. And I guess I’m thinking about it from this perspective, right, if we exclude those larger gains on sales given sort of weather in the first quarter and I think you said one of the best sort of sequential March to April you’ve ever seen, right, I’m guessing that, again excluding those gains, that we should probably be thinking about the sequential margin improvement better than normal, but mind if you’ve been thoughts there?
David Cobb: Well, I would just say that weather is – it did impact February pretty rough for us, one of the worst I think we’ve seen in a number of years, but as – we had a decent March come bouncing back from that. I think it’s hard to sort of sort through whether not that had overall significant impact on us for the quarter from a profit standpoint. I think the bigger thing to think about in the first quarter is probably the property gains that we had in terms of trying to normalize a sequential OR comparison.
Scott Group: Okay, all right. Thank you, guys.
David Humphrey: Thanks a lot, Scott.
Operator: Thank you. Our next question comes from the line of Todd Fowler from KeyBanc Capital Markets. Please proceed with your question.
Todd Fowler: Hey, great. Thanks and good morning.
Judy McReynolds: Good morning, Todd.
David Cobb: Hi, Todd.
Todd Fowler: Hey, good morning, everyone. So, Judy, just kind of around the narrative about thinking about growth going forward. Does this feel like that this is finally in an environment where you can grow volume or grow tonnage that we really haven’t seen in the past couple of years and continue to get the yield improvements and the contract renewals that we’re seeing? Or is it maybe a little bit of a message that maybe there is less of the lever to push on the pricing side and now is the time to kind of grow some in tonnage in the network?
Judy McReynolds: I wouldn’t say it was the latter. I mean, I think that may be overstating it, but I do think that it’s important to acknowledge that we’ve done a lot since 2017 to address overall yield in the business, I’m sorry, particularly the Asset-Based business. And so I think you have to keep that in mind. And I think for us the challenge with really trying to accomplish a lot of growth in the Asset-Based business is going to come from some of the hiring challenges that we have and other constraints like that more so than it would be anything else. I mean, I think we look at the opportunities that we’re seeing and we want to service them well. We want to be sure that we’re doing that, particularly with good customers that are long lasting customers and that’s really first order of business is to make sure that we’re positioned well to do that. We do want to grow and I think that as we go through the year, our success in hiring is going to help us better understand how well we can do that and it’s going to be an interesting period here with the peak season. But stepping back from it, I would say it’s an environment where you can look at those best opportunities and make sure that you’re optimizing them in the network. And I think we’ve been doing that for some time now and it’s really a testament to our team and the coordination that we have with sales, yield and operations to make sure that we’re handling that well. And that included the significant disruption that we experienced in February with the winter weather. That was one of those things where everybody has to come together and make sure that we handle it well and move through that. So, if you think about the last year, all of the challenges, the reductions in business that we had in the second quarter and coming into the third and fourth quarter with more robust trends and then now where we are, I’m really proud of the resiliency and the adaptability of the model that we have in that business. And the quality of our people plays a strong role in the success that we’ve had and that we will have.
Todd Fowler: Yes. That makes sense. And I knew the way I asked that, you weren’t going to agree with the kind of the general comment, but it was more like you said, all of the pricing work that your team has done over the past couple of years and moving the yields up, positioning yourself for growth going forward. So I appreciate that. So maybe just for a follow-up, Judy, if you can comment on kind of where you see the network balance right now. I know that you’ve done a good job of balancing available capacity with some of the higher weighted spot truckload shipments. Is that back at a normalized level? And do you think that kind of underlying demand is where it should be that you kind of see normal weight per shipments and just sequential tonnage patterns going forward? Thanks.
Judy McReynolds: Yes. Todd, it really, I mean, I think some of that is hard to predict, but I want to say too that the LTL transactional business that we’re doing is obviously driven by some of the empty capacity issues that we’ve had over the past year, but it’s also a responsive approach to our customers. It’s the channel that some customers want to do business in. And so as we move forward that piece is going to continue to play a role in what we’re doing and we’re glad to be able to do that. It’s created by visibility on both opportunities in the network as well as better connecting with those customers. So, I think that all of that has to be considered when thinking about this.
Todd Fowler: Yes. Got it, okay.
David Humphrey: Todd, we appreciate you.
Todd Fowler: Yes. I just wanted to say congratulations to Tim Thorne, David.
David Cobb: Absolutely, absolutely.
Judy McReynolds: Yes. We’re excited for Tim and his next phase for sure. Thank you for saying that.
Todd Fowler: Yes. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Jordan Alliger from Goldman Sachs. Please proceed with your question.
Jordan Alliger: Yes. Hi, morning. Just sort of curious...
Judy McReynolds: Good morning, Jordan.
David Cobb: Hi, Jordan.
Jordan Alliger: Hi. I’m just not sure if you addressed this, but given the better profitability in Asset-Light, any thoughts on where margins could over time get to. And when you think about the services customers are asking for there that’s driving the top line, can you maybe highlight a few of the key spots. Thanks.
Judy McReynolds: Well, yes, great question. And I think we’ve said over the past few years that we’re targeting about 5% margins there, operating margins and really just looking at kind of best-in-class operators of the Asset-Light service line by comparison, but that’s certainly in our minds achievable. And I think having the first quarter come in like it did, really kind of helps us think about that. Over time, we’re continuing to invest in technologies and enablement of our people, so that they are more efficient. That was one of the things that really stood out to me whenever I looked at the first quarter is how much of the revenue really dropped to the bottom line and that really speaks to the, I think, the leverage, but also the effective training of our people and we added quite a number of people to that business during the first quarter. And so we have technology working for us and we’re going to continuing to pursue that as well as training and development of people, so that they are up and running and working more effectively quicker. But at the same time, I think the elements of that business, ground expedite obviously has been a contributor to the success that we saw in the first quarter and into April. Our managed solutions really doing well in this type of environment, where customers are in a way just ready to have a lot of help in managing capacity sources to their advantage. And then the truckload opportunity continues to be there for us to aggressively grow that business and frankly that’s one where we have some opportunity to improve the profitability. And I think with our technology initiatives that we’ll be able to do that over time. But all of that over time should lead us to a margin that’s like I described and hopefully we would be better – to be able to better that even, but we’ve got to get there first.
Jordan Alliger: Great. Thank you so much.
Judy McReynolds: Thank you.
David Humphrey: Thanks, Jordan.
Operator: Thank you. Our next question comes from the line of Stephanie Benjamin with Truist. Please proceed with your question.
Stephanie Benjamin: Hi, good morning.
Judy McReynolds: Good morning, Stephanie.
David Cobb: Good morning.
David Humphrey: Hi, Stephanie.
Stephanie Benjamin: Got it. Just I’m really follow-up to the last question. I’m curious just as you’re looking at your overall tech initiatives planned for this year, I’d love to – and I think you touched on some of this, but loved to hear how you think some of those impacted just the current quarter. And then as you look forward, maybe technology opportunities for customer and carrier matching and fully digital front, anything on the LTL side or just dock productivity and I think kind of even wrapping it up, looking at your strong cash balance for the year, is there an opportunity to maybe make some pretty incremental investments on technology, just to kind of improve overall productivity that would be helpful. Thank you.
Judy McReynolds: Great questions, Stephanie. And I mean it’s – you sound like us, sitting around talking. When you’re looking at the Asset-Light side of things, we have some technologies that allow our people to on-demand really evaluate multiple solutions for shipment handling with our customers. And the reason I bring that up first is because in this disrupted environment, it’s just not always clear to a customer which route they should go, what type of equipment they should use, what solution they need in order to best serve their needs. And so when they’re looking at the service that they need and perhaps the profile of the freight or the characteristics of the shipment they need that kind of help. So that’s really helped us and that’s been in development for many, many years. We also have a freight matching platform that includes auto shipment awards to partner carriers that have given us their preferences and their profiles and we’re continuing down the path of greater automation there. Our tracking and tracing technologies have advanced and really are focused on even greater visibility both for us in decision making and then also the customer just to know the status of things. And one of the beauties of having I think assets involved along with these solutions is we are headed toward a place where we can look at capacity as kind of the potential solutions that are involved and help a customer navigate or maybe even automatically assign the best capacity source in a given circumstance. And so, we’re connecting with more of our customers. We connect every day with customer TMS systems that allow us to take on those orders and appropriately assign carrier capacity. And I think that our advancements as we go forward is with arcb.com just allowing more self service options by our customers. And so that’s really the Asset-Light summary. And on the Asset-Based side, we continue to see opportunities to have a more optimized network, and we’ve been working toward that over the last two or three years, optimizing things like light lanes and then our city routes. We’re just in the early stages of getting that to a more automated place and there is a lot of ground work that had to be laid before we could actually accomplish that. Of course, our LTL transactional business is a great example of technology that’s being deployed to the customer advantage in the business and there are so many more. And then I think you mentioned utilization of our resources for those – maybe those bigger tech projects to really leap to a new place in the future and that’s certainly on our radar screen as well. And I think I mentioned earlier, the pilot work that we’re doing in the Asset-Based business in Indiana and Kansas City and to the extent that we see good results there. There’s some capital for that in our 2021, but it could influence what we do in 2022 and beyond. Hope that helps.
Stephanie Benjamin: Absolutely. No, really appreciate all the color as always. Thanks so much, guys.
Judy McReynolds: Thank you.
David Cobb: Thanks, Stephanie.
David Humphrey: Thanks, Stephanie. And Rita, I think we’ve got time for one more question.
Operator: Thank you. Our last question comes from the line of Jeff Kauffman with Vertical Research Partners. Please proceed with your question.
Jeff Kauffman: Thank you very much. Hi, Judy, David and David.
David Cobb: Hi, Jeff.
Judy McReynolds: Hi, Jeff.
Jeff Kauffman: Hey, thanks for squeezing me in.
Judy McReynolds: Good to hear you on here.
Jeff Kauffman: Good to be back, thank you. Well, all the really smart questions have been asked at this point. So let me just kind of throw some straightforward ones that I just wanted to follow-up. The one thing we want to be careful about here I think is not building the church for Easter Sunday, so to speak. And I mean business is just fantastic and the market capacity is tight and I think that sustained itself probably a little longer than people think. But what is going on that you’re concerned about, we don’t want to overbuild additional capacity here versus what is happening out there that you think there is a fundamental structural change?
Judy McReynolds: Yes. I think you’ve been through about as many cycles as we have, David Humphrey and David Cobb.
David Cobb: Kind of scary.
Jeff Kauffman: Yes.
Judy McReynolds: Yes. When you think about – and so you know, I think as well as we do the importance of keeping that in mind, and I think I made a comment in my opening statement about being mindful of the eventual cycle change which we can’t really predict when that’s going to happen. We’ll know that there is weakness coming. I mean that manufacturing PMI index tends to be a good leading indicator for us by about four to six months. But there are a number of things that are out there that we’re mindful of and the change, I think, in tax policy, some of the inflationary factors that are being discussed and just uncertain, the impact of those. But I’ll just say with respect to that, I think you know as well as we do that we have the mechanisms, and I think the intelligence to be able to know that if we have those kinds of cost increases that we have to think about passing those along, but there is a limited ability to do that if you’re starting to see weakness. I think of retailers and the tight margins that they have in their business and that’s why I think it’s so important for us to be seeing things through the customer lens, because it helps us to view ourselves in an optimized fashion. And so we’ve got all of that on our minds and we know that it’s inflation were to take hold that could be a dampening effect on demand ultimately. And we’ve got to watch for that and be mindful of it. But I think when I think about the Asset-Based business in particular, if we were to have a more robust capital plan in 2022, it really addresses certain specific things, maybe the age of our city trailers and making sure that we stay on top of our tractor average lives so to speak and there are some cost inefficiencies that we’re trying to solve with the purchase transportation level that we’re having to utilize. And so really I think if you think of it in that regard that just makes the company more sustainable as we go through any environment and that’s really what we’re focused on.
Jeff Kauffman: Okay, thank you. If I could get the follow-up in, please, it’s more of a strategic nature. This company has a tremendous history of growing businesses and then recognizing value and I’m just thinking more recently Clipper and Tread Co. But I look at what you’re doing at Asset-Light and you’ve got tremendous growth. I think the theory is when it gets to 50% of revenues may be investors reward the company with a higher multiple. But I’m not sure that there is a guarantee with that and I look at XPO which stocks nearly doubled since they said, okay, we’re going to engage in strategic discussion and now we have decided to separate the Contract Logistics business. Are there strategic reasons why Asset-Light has to be a part of the parent company? Can you achieve many of those same benefits if the business were stand-alone? And I’m just thinking about ways to recognize valuation differential.
Judy McReynolds: Well, it’s an interesting question. And of course, it’s on people’s minds because of what you’ve seen with XPO. And I’m really not speaking to their specific strategy as much as I am ours when I say that this – what I’m getting ready to say. And that is, it – the Asset-Light solutions that we have in the way that our customer management team is approaching the business along with the Asset-Based network is highly integrated and it’s really very beneficial to both. For instance, if we have a LTL customer which right now that’s a really robust environment growing and lots of excitement around that, but there are customers that at certain points will want to do something that is further optimized from that specific mode. And what we recognize is the ability to have that conversation with the customer, make sure that their supply chain is as optimized as it can be and to participate in that as a partner rather than standing outside of that and having whatever inevitably happen happens to us. And so I think what we’ve learned through the different strategic steps that we’ve taken is just how beneficial that is. Now, I mean, you know how this business is. Things obviously change over time. But when we look at the next several years, we see that strengthening our company and the relationships that we have with customers and our ability to serve them. And so we think of it in a very integrated and beneficial way.
Jeff Kauffman: Okay. So it’s one plus one equals three, is your view to have it in-house.
Judy McReynolds: Yes.
Jeff Kauffman: Well, congratulations on a fantastic quarter and thank you.
Judy McReynolds: Well, thank you, Jeff.
David Humphrey: Jeff, thanks a lot. Good to have you.
Judy McReynolds: Congratulations to you too.
Jeff Kauffman: Thank you.
David Humphrey: Well, Rita, I think that concludes our call. We’re at the end of the hour. And so I just wanted to thank everybody for being with us and we look forward to talking to you in three months. Thanks a lot. This concludes our call.
Operator: Thank you. That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.